Operator: Welcome to the Uranium Resources' Full Year 2016 Financial Results and Business Update Conference Call. As a reminder, all participants are in listen-only-mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I'll now like to turn the conference over to Chris Jones, President and CEO. Please go ahead.
Christopher Jones: Thank you very much and welcome everyone to Uranium Resources' 2016 financial results and business update conference call. I'm Chris Jones, Chief Executive Officer for Uranium Resources. You'll find our company listed as URRE on the NASDAQ and URI on the ASX. This call is being webcast at www.uraniumresources.com where we have posted slides to accompany our remarks. Telephonic replay of the call will be available from our website for three weeks followings today's call. We will be discussing some forward-looking information today and we caution our audience that such statements involve risk and uncertainties that could actual results to differ materially from our projections. Please review our cautionary statements and notes about foreign reserves and resources on Slide 2 to 4. In addition, there are risk factors including some that are specific to our industry, described in our latest annual and quarterly financial reports filed with the U.S. SEC and the ASX. We have a brief presentation before the question-and-answer portion of today's call. I'm joined here in our Colorado headquarters by Jeff Vigil, Chief Financial Officer and Vice President of Finance. Let's turn to Slide 5, since the second half of 2016, we have improved URI's value proposition by providing exposure to a robust lithium sector through our acquisition of two highly perspective lithium brine projects in Nevada and Utah. We also retain optionality to the future uranium price recovery with our portfolio of low cost uranium projects led by our near term Temrezli Project in Turkey. We are especially proud that in February 2017, our company become debt free and funded well into the first quarter of 2018. After repayment of an $8 million loan in December and February, our current cash position is strong at $10.4 million. Even with expanding and diversifying our business, we continue to reduce expenses, total mineral and property and general and administrative expenses decreased by 9% from 2015 to 2016. We have been active on the M&A front. On January 5, we closed our sales of Churchrock in Crownpoint to Laramide Resources for $12.5 million in total compensation. We will participate in the successive of these projects through a royalty and an ownership position in Laramide. We continue to be opportunistic in evaluating business prospects for value creation and for optimization of our portfolio of assets. This includes further monetization of non-core assets where it creates a value for URI shareholders. In the meantime, we have budgeted $1.6 million for our lithium exploration and drilling program in 2017. The return for continuous flow from our exploration work as we drive towards the delivery of an initial JORC-compliant lithium resource on one of the project in the first half of 2018. Today, our company is standing on two legs of the energy metals business, lithium and uranium. But the attractive projects in the U.S. and Turkey, we are in a great position to capitalize on the green energy future. On Slide 6, we summarize how we expanded and recapitalized the Company in the past year. It bears repeating that we now carry zero debt. We also reduced our accounts payable by $2.4 million to a normal business operating level at year end 2016. This new cleaner balance sheet provides a proper springboard for 2017. To a challenging commodities market, our management team was still able to secure financing that realize net proceeds of $14.5 million in 2016 and $13.4 million year-to-date 2017. This includes the asset sale to Laramide resources previously mentioned. As a result of these actions, our company is more financially secured today. It is also worth noting that we have entered in the lithium sector as another clean energy metal. This new business allows us to take advantage of our existing technical skill set and a groundwater management expertise from past uranium and such mining. In quick succession, we state and then expanded the Columbus Basin in lithium brine project located just a few hours' drive to Tesla's newly commissioned to Gigafactory in Nevada. Then acquired a second lithium were in project the Sal Rica in Utah. Now, I’ll turn the presentation over to Jeff to review our capital structure and financial summary. Jeff?
Jeff Vigil: Thank you, Chris, and good day everyone. As noted on Slide 7, yesterday, share price of $1.97 and was approximately $24.5 million shares outstanding, our market capitalization stand at $48 million. Entering in New Year, our stock has built momentum. URRE stock is up 40 % year to date and the average daily trading liquidity for the trailing three month has an average volume of over 3 million shares per day. Our current cash position stands at $10.4 as of February 28, 2017. Equally as important, we now have zero long-term debt which I’ll discuss further on the next slide. Coming to the financial summary of 2016 on Slide no 8, we’ve significantly improved our balance sheet for a much stronger financial position at December 31, 2016. During the year, we raised 14.5 million from equity offerings, reduced accounts payable by 2.4 million and reduced our $8 million convertible loan agreement with resource capital funds by 2.5 million to a yearend balance of 5.5 million. Significantly, we improved our working capital by $4.7 million during 2016. Continuing with the financial summary for 2016, net cash used in operations was 12.3 million 2016 compared to 12 million in 2015. During 2016, we continue to pay down line item expenses, summing up mineral property and G&A expense for 2016 and 2015, we achieved a 9% reduction year-over-year. Even after we invested 750,000 to stake, acquire and conduct initial surface sampling in our new lithium project. G&A expenses were generally in line with 2015. The net loss for the year ended December 31, 2016, is 19.6 million compared to a loss of 5.1 million for the full year of 2016. Primary difference between the periods was recorded within an extraordinary onetime gain of 4.3 million from the sales of the Roca Honda project to energy fields in 2015. In addition, 2016 includes a non-cash loss amount of 3.3 million for the extinguishment of the RCF debt related to the exchange agreement between the Company and Esousa Holdings. This amount was the difference between the fair value of the shares exchange with Esousa and the fair value of the shares that would have been issued to RCF pursuant to the terms of the convertible loan agreement. Finally since the beginning of 2017, we've raised additional 13.4 million from two equity offerings. Significantly in February, we repaid the remaining 5.5 million convertible loan balances to RCF. As mentioned earlier at the end of February 2017, we're not debt free and with $10.4 million is in our treasury, our current cash is expect to fund our business activities into the first quarter of 2018. With that, I'll turn it back to your Chris.
Christopher Jones: Thanks, Jeff. Let's look at the lithium supply and demand fundamentals on Slide 9. When we speak of lithium demand growth, we’re speaking about lithium-ion batteries and the outsized influence of transportation batteries. That to announce that it's Nevada Gigafactory commenced the production in January 2017. Bloomberg has since reported the Tesla's new productions can double the world's output of lithium-ion batteries. The ERU estimates the global lithium demand shown as lithium carbonate equivalent will rise at an average of 6% per year to 2025. This growth is driven by rapidly increasing demand for transportation batteries. Lithium market commentator sight the present suppliers which were dominated by five major companies worldwide controlling 90% current production are in adequate to serve this demand growth. There is also the China factor. Media reports sight the China has exceeded the United States in electric vehicle sales in 2016. China is committed to a target of 3 million electric cars on the road by 2025, with green car subsidies for the transportation sector. China's entire line of lithium-ion battery production reportedly tripled in terms of gigawatt hours in 2015 over 2014. Our strategy is to capitalize on our existing base of expertise and developing low cost lithium brine deposits. The mining and processing cost of lithium from brines are in the lowest cost quartile. Let's take a closer look at our lithium projects. Slide 10 shows our Columbus Basin project which is located 27 miles from Albemarle Corporation's Clayton Valley Silver Peak operations, the only U.S. lithium brine producer. The project is also a 137 miles Southeast of Tesla's Gigafactory. Throughout taking these claims, we have expanded our land holdings to over 11,000 acres. Last year, we completed a detailed group-based geochemical sampling program of surface sediments across the entire Columbus Basin property. The asset results were promising with 21 of 348 samples exceeding to 200 part per million and an average concentration lithium of 100 parts per million across all samples. The highest lithium value was 392 parts per million in once. We are planning further sampling on Columbus Basin along with an evaluation of other available geophysical data from which we will define drill targets for 2017. Slide 11 shows the Sal Rica project which is located in the lithium-enriched brine in the Pilot Valley of Northwestern Utah. The Sal Rica project is within a day's drive with the only U.S. lithium-brine producer located in neighboring Nevada. Since acquiring the project in September 2016, we have extended it through additional staking and we now all over 13,000 acres. Results from a shallow drilling program in 1996 demonstrated widespread presence of lithium and brines associated with near surface aquifers. Initial sampling of sediments by our personnel last year yielded lithium values ranging from 82 to 213 parts per million. We expect to follow up with the geochemical grid sampling program designed to identify future drilling projects. Turning to Slide 12, we showed some photos from our claim staking and soil sampling our good Columbus Basin and Sal Rica. We use these inexpensive and agile ATVs to maneuver round and place claim stakes and plugged surface samples. On Slide 13, we presented our value proposition. We have expanded leverage to green energy metals and lithium and uranium. We've increased our exposure to the robust lithium sector by advancing the Columbus Basin and Sal Rica lithium brine projects. We have also retained our leverage to the projected rise in uranium prices with our low cost Temrezli project, our licensed processing facilities in Texas and our extensive uranium mineral base. Our company is now debt free and our business plans including a $1.6 million lithium exploration program are funded into the first quarter of 2018. You can expect continued in the slow on our exploration progress and our business updates through 2017. Other energies or power energies are focused on delivering an initial JORC-compliant resource on one of the lithium projects in the first half of 2018. We are off to a great start of 2017 with an improved balance sheet, cash in our treasury and a new energy metal strategy this terrific team is well resourced to achieve great things this year. Thanks for your time and attention today. Let's take some questions. Operator, please open up our lines.
Operator: Thank you, sir. We will now begin the Question-and-Answer Session. [Operator Instructions] The first question comes from Joseph Reagor of ROTH Capital Partners. Please go ahead.
Joseph Reagor: Couple of things, I guess the first one being kind of a big picture question. You have your uranium projects and you have these lithium assets now. Are there any other metals that you consider strategic, anything graphite or anything of that nature that you can specifically point to that you guys are looking to expand into, or do you think that uranium and lithium give you enough diversity right now?
Christopher Jones: Joe it's a great question. I can answer it in this way. First thing we wish to do is to capitalize on our existing expertise. And really lithium brines production capitalized on a base we already had in-house. Other metals, energy metals you mentioned graphite for instance represent an expansion of our expertise into newer areas and while like holds some interest for us in terms of battery production and very same funnels to drive lithium. We'll evaluate opportunities as they come up both from a corporate and a project-by-project perspective.
Joseph Reagor: Okay. And then thinking about this year, how much total spend do you guys have this year for exploration leasing et cetera across the portfolio?
Christopher Jones: I can speak to the lithium exploration budget in particular, and in terms of overall spend secondarily. So in the case of our lithium exploration spend itself, we are looking at budget of around $1.6 million. Certainly the spend is predicated on successful starting for drills and the execution of a pretty good drill plan. And seasonal drilling of course plays into that as well. From a broader perspective around overall land acquisition and spend, I think in terms of new land spend or are you're talking about old land spend?
Joseph Reagor: Just a total number of what you think you are going to be, spending this year whether it's consider CapEx or G&A, that’s not what in the Company, but keeping up your leases, extending leases, any maintenance or expenditures or those kinds of things, just maintaining the land impact at whatever that works out to?
Christopher Jones: You should think of that number in terms about $1 million.
Joseph Reagor: And then one final thing, I am sure most of that as a supply care just here what series of events are that would bring one of these lithium assets to production from where you are today and what a reasonable timeframe on that is?
Christopher Jones: The reasonable series of event Joe certainly are, if you want to verify that there is deposit down there, explore for it. So, the state one is to drill for result and prepare a resource reporting in the first half of 2018 that should be the first major milestone. Now that certainly milestones that serve that drill physical results, drill targeting drill results et cetera. Over the course of the next year or so further drilling and exploration would result in a PEA and then about another year enhances where we actually begun to do the fees. So you should be thinking of this in the realm of 18 months to three years to get through a bank of feasibility study. Remaining in construction takes about another year or so in round terms so total of three to five years as a broad range.
Operator: [Operator Instruction] There are no more questions at this time. I'd like to turn the conference back over to Chris Jones -- actually pardon me -- we do have another question from Mark Fredrick [ph] who is Private Investor. Please go ahead, sir.
Unidentified Analyst: My question is -- is there any deregulation that you expect from the Trump Administration that would benefit your future outlook in the uranium market? And are you expecting any now that the deregulatory environment upon us? Thank you and congratulations for a great quarter.
Christopher Jones: Thanks Mark. And it's an interesting -- it's good opportunity to, to not comment on politics but policy, if you can allow us that. Our view is that a republican administration as well as the republican house senate in it all good for business. And a broad statement around deregulation would help. The mining business would help. The nuclear business would help. The green energy business all the way around I think in all respects. So from a very general standpoint, we are pleased with what we see in this new administration and everything we see in the future is more likely to benefit us than not.
Operator: [Operator Instructions] There are no more questions at this time. I would like to hand the call back over to Chris Jones for any closing remarks.
Christopher Jones: Thank you. Ladies and gentlemen, URRE management team thanks you for allowing us to provide this update on our business. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.